Operator: Good morning, ladies and gentlemen, and welcome to the Thermo Fisher Scientific 2023 Fourth Quarter Conference Call. My name is Bailey and I'll be your moderator for today's call. All lines will be muted during the presentation portion with an opportunity for questions-and-answers at the end. [Operator Instructions]. I'd now like to introduce our moderator for the call, Mr. Rafael Tejada, Vice President of Investor Relations. Mr. Tejada, you may begin your call.
Rafael Tejada: Good morning, and thank you for joining us. On the call with me today is, Marc Casper, our Chairman, President and Chief Executive Officer; and Stephen Williamson, Senior Vice President and Chief Financial Officer. Please note this call is being webcast live and will be archived on the Investors section of our website thermofisher.com, under the heading News Events and Presentations until February 16, 2024. A copy of the press release of our fourth quarter and full year 2023 earnings is available in the Investors section of our website under the heading Financials. So before we begin, let me briefly cover our Safe Harbor Statement. Various remarks that we may make about the company's future expectations, plans and prospects constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Company's most recent Annual Report on Form 10-K and subsequent quarterly reports on Form 10-Q which are on file with the SEC and available in the Investors section of our website under the heading Financials, SEC Filings. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our estimates change. Therefore, you should not rely on these forward-looking statements as representing our views as of any dates subsequent to today. Also, during this call, we will be referring to certain financial measures not prepared in accordance with Generally Accepted Accounting Principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measure is available in the press release of our fourth quarter 2023 earnings and also available in the Investors section of our website under the heading Financials. So with that, I'll now turn the call over to Marc.
Marc N. Casper: Thank you, Raf. Good morning, everyone and thanks for joining us today for our fourth quarter call. As you saw in our press release, our fourth quarter results were ahead of the guidance we provided on our call in October and demonstrates strong execution. As I reflect on our performance for the full year, I'm very proud of our team as they operated with speed at scale to enable the success of our customers while demonstrating incredibly strong operational disciplines and commercial execution. In 2023, we delivered differentiated short-term performance while at the same time strengthening our long-term competitive position.  I'll get into more detail in my remarks later, but first, let me recap the financials. Starting with the quarter, our revenue was $10.89 billion. Our adjusted operating income was $2.55 billion. We expanded our adjusted operating margin by 100 basis points to 23.4% and we delivered another quarter of strong adjusted EPS performance, growing adjusted EPS 5% to $5.67 per share. Then in terms of our full year results, our revenue was $42.9 billion in 2023, adjusted operating income was $9.81 billion and adjusted EPS was $21.55 per share. Last year, we once again delivered meaningful share gain with our industry-leading products, services, and expertise. We leveraged our PPI business system to enable outstanding execution, including aggressively addressing our cost base to effectively navigate a challenging macroeconomic environment. At the same time, we strengthened our long-term competitive position with high-impact innovation, exciting and complementary acquisitions, additional investments in our capabilities, and further strengthening our trusted partner status with our customers.  Turning to our performance by end market, in the fourth quarter, underlying market conditions largely played out in line with our expectations. Our continued strong execution resulted in revenue performance that was slightly ahead of our expectations. Now let me provide you some color on our performance in the context of each of our end markets. Starting with pharma and biotech, as expected, growth declined in the high single digits for the quarter and approximately 1% for the full year. In 2023, vaccine and therapy runoff resulted in a seven-point headwind in this customer segment, which was effectively offset through share gains as a result of our trusted partner status. We've made strong progress in transitioning COVID-related capacity to other therapies, and that's very exciting for the future.  In academic and government, we grew in the mid-single digits for the quarter and in high-single digits for the full year. In 2023, we delivered strong growth across a range of our businesses, including electron microscopy, chromatography, and mass spectrometry, as well as the research and safety market channel. In industrial and applied, we grew in the low single digits for both the quarter and for the full year. During the year, we delivered very strong growth in our electron microscopy business. And finally, in diagnostics and healthcare, in Q4, revenue declined in the high teens and was 30% lower for the full year. In 2023, we delivered good core business growth in this end market, highlighted by our immunodiagnostics, microbiology and transplant diagnostic businesses.  I'll now turn to an update on our growth strategy. As a reminder, our strategy consists of three pillars, high impact innovation, our trusted partner status with customers, and our unparalleled commercial engine. Starting with the first pillar, it was another terrific year of high-impact innovation. Throughout the year, we launched outstanding new products across our businesses that strengthened our industry leadership by enabling our customers to advance their important work. In chromatography and mass spectrometry, the year was highlighted by the launch of the groundbreaking Thermo Scientific Orbitrap Astral Mass Spectrometer, which is helping our customers uncover proteins that were previously undetectable. The scientific breakthrough is enabling customers to advance precision medicine, including the identification of new clinical biomarkers. In the six months since launch, the scientific community's adoption of the product has exceeded our high expectations and the momentum is continuing to build as we enter 2024.  In electron microscopy, we launched the Thermo Scientific Metrios 6 S/TEM, a fully automated system that enables our customers to rapidly obtain large volume, high quality data from increasingly complex semiconductors to advanced development. In specialty diagnostics, we launched the first FDA-cleared assays for the risk assessment and clinical management of preeclampsia. This first-of-a-kind diagnostic has received significant attention and adoption as it has significantly raised the standard of care for pregnant women, helping physicians to better manage care by predicting who is most at risk for this condition.  In Life Sciences Solutions, we introduced the Gibco CTS Detachable Dynabeads, our next generation Dynabeads platform to accelerate manufacturing of life-changing cell therapies. We continued this great innovation momentum in the fourth quarter. In electron microscopy, we launched the Thermo Scientific Meridian EX System for precise defect localization in advanced logic semiconductors. And in low laboratory products we launched the Thermo Scientific Aquanex Ultrapure Water Purification System for reliable water purity and operational enhancement in laboratories. So another spectacular year of innovation and an exciting pipeline for the future.  In 2023, we also continued to strengthen our industry-leading commercial engine and the trusted partner status we have earned with our customers. This included the opening of a state-of-the-art customer center of excellence in Milan to showcase our industry-leading product services and expertise. And during the fourth quarter, we further strengthened our position in advanced materials by opening a customer experience center for battery manufacturing in Seoul to accelerate the development of next generation of environmentally friendly energy solutions. We also made significant advancements in the partnerships and collaborations with our customers throughout the year. Building on our longstanding relationship with Borenger Ingelheim, a great example in the fourth quarter was an exciting opportunity to develop a genomic testing-based companion diagnostic for non-small cell lung cancer patients in Japan and the United States, where lung cancer is a leading cause of cancer death.  Now let me turn to our PPI business system and our mission driven culture, which continued to enable successful execution during the year. PPI engages and empowers all of our colleagues to find a better way every day. It's helping us to drive share gain, improve quality, productivity, and customer allegiance. I'm proud of the way our team leveraged PPI to step up in an agile way to navigate the dynamic environment last year, driving higher commercial intensity, actively managing our cost base, and optimizing sourcing. We're also leveraging generative AI as part of our PPI business system toolkit to increase productivity, further optimize our commercial effectiveness, and improve the customer experience.  A quick recap on capital deployment last year. We continued to successfully execute our disciplined capital deployment strategy, which is a combination of strategic M&A and returning capital to our shareholders. In terms of M&A, we completed our acquisition of the binding site, our protein diagnostics business which enhances our specialty diagnostics offering by advancing the diagnosis and management of patients with multiple myeloma and other immune disorders. The integration has gone smoothly and the business is performing extremely well and tracking ahead of the deal model.  As we look to the future of the protein diagnostics business, our launch of EXENT instrument solution represents a significant breakthrough given its enhanced sensitivity, specificity, and ease of use when compared to conventional methods. This is a great complement to our Freelite assays and there's strong interest from the medical community due to the positive impact on diagnosing multiple myeloma patients. In the third quarter, we added CorEvitas, a leading provider of regulatory grade real-world evidence for approved medicines and therapies. CorEvitas is now integrated into our clinical research business, and customers are seeing the benefits of these additional capabilities. The business is off to a great start and performing very well.  During the fourth quarter, we announced our intent to acquire Olink, a provider of advanced proteomic solutions that help researchers to gain an understanding of disease at the protein level rapidly and efficiently. As a reminder, Olink Technology compliments our leading mass spectrometry and life science platforms, and we are uniquely positioned to rapidly bring this technology to customers. The transaction is on track to be completed by mid-2024, subject to customary closing additions, including regulatory approvals. In 2023, we also returned $3.5 billion of capital to shareholders through stock buybacks and dividends.  Let me now give you a brief update on our corporate social responsibility initiatives. As a mission-driven company, we help to make the world a better place by enabling the important work of our customers. We also have a positive impact by supporting our communities and being a good steward of our planet. And I'm proud of the actions we took in 2023 in this regard. Building on the environmental sustainability initiatives, we continue to accelerate our transition to renewable energy with on-site solar projects and power purchase agreements around the world. This progress will help us achieve our recently established target of utilizing 80% renewable electricity globally by 2030.  To advance Global Health Equity in the fourth quarter, we announced a partnership with Project HOPE to improve the well-being and treatment outcomes for young people living with HIV in Nigeria, the country with the second largest HIV epidemic worldwide. Throughout the year, Thermo Fisher Scientific was once again recognized for our industry leadership and inclusive culture, where colleagues can have a mission-driven career. To list just a few of the recognitions, we were once again included on Fortune's list of the world's most admired companies, as well as Fortune's inaugural list of most innovative companies. Newsweek named us as one of America's most responsible companies, Forbes included us on its list of the world's top companies for women, and named us as one of the best employers for veterans. As I reflect on the year, I'm very proud of what our team accomplished. Thanks to our incredible colleagues, we successfully navigated the environment, continued to build a bright future for our company. I'm very excited about 2024 and beyond.  So let me now turn to guidance. Stephen will outline the assumptions that factor into our 2024 revenue and earnings guidance, but let me quickly cover the highlights. We're initiating a 2024 revenue guidance range of $42.1 billion to $43.3 billion, and an adjusted EPS guidance range of $20.95 to $22 per share. This outlook reflects a continuation of us demonstrating incredibly strong commercial execution and operational discipline and enabling the success of our customers.  I've had the opportunity to connect with many of our customers in January to understand what's on their minds. Based on our longstanding relationships, we have terrific access to the senior executive teams of our customers. From these conversations, it's clear to me that our customers value our partnership and see us as essential to enabling their success. They're enthusiastic for the future because of the progress and pipelines to treat disease, and there's also great enthusiasm with material science customers for the important advances made in those fields. All of this will create strong long-term demand for our capabilities as we enable customer scientific breakthroughs, and we continue to be incredibly well-positioned to enable our customers to make the world healthier, cleaner, and safer.  So to summarize our key takeaways for 2023, our proven growth strategy continues to drive significant share gain. We continue to elevate our trusted partner status and deepen the relationship with many customers last year. And this in combination with the power of our PPI business system delivered differentiated performance for the quarter and the full year, helping us to effectively navigate a challenging macroeconomic environment. We're well positioned in 2024 to once again deliver differentiated short-term performance and further strengthen our long-term competitive position. With that, I'll now turn the call over to our CFO, Stephen Williamson. Stephen. 
Stephen Williamson: Thanks, Marc and good morning, everyone. As you saw in our press release we executed really well in Q4. Market conditions played out largely as we had expected in the quarter, and through the great execution, we delivered 1% more core organic revenue growth than our prior guide. In terms of adjusted EPS, we beat our prior guide by $0.05 and that included offsetting $0.08 of additional FX headwind, so really strong operational execution in the quarter. We also capped off the year with very strong free cash flow delivering $7 billion in 2023. Throughout the year we navigated the changing macro environment very effectively. Our proven growth strategy and PPI business system enabled us to deliver a differentiated experience for our customers and differentiated financial results for our shareholders, all the while continuing to invest in the business and advance our strategic position as the world leader in serving science.  Let me now provide you some additional details in our performance. Beginning with our earnings results, we delivered $5.67 of adjusted EPS in Q4 and $21.55 for the full year. GAAP EPS in the quarter was $4.20 and $15.45 for the full year. On the top line, reported revenue was 5% lower year-over-year in Q4. The components of our Q4 reported revenue change included 7% lower organic revenue, a 1% contribution from acquisitions, and a tail end of 1% from foreign exchange. Q4 core organic revenue decreased 4%. For the full year 2023 reported and organic revenue decreased 5% and core organic revenue growth for the year was 1%. In 2023, we delivered $1.73 billion of pandemic related revenue, $330 million of testing and $1.4 billion of vaccines and therapies revenue.  Turning to our organic revenue performance by geography, the organic growth rates by region are skewed by the pandemic-related revenue in the quarter -- in the current year and prior year. In Q4, North America declined low double digits, Europe declined low single digits, Asia Pacific grew low single digits with China declining in the mid-single digits. For the full year, North America declined high single digits, Europe declined low single digits, and Asia-Pacific declined low single digits with China declining high single digits.  With respect to our operational performance, we delivered $2.55 billion of adjusted operating income in the quarter, and adjusted operating margin was 23.4%, 100 basis points higher than Q4 last year. In the quarter, we continued to deliver exceptionally strong productivity and achieved good price realization, this is partially offset by lower pandemic-related revenue, strategic investments, and FX. The strength of our productivity reflects the impact of our PPI business system. It's enabling us to manage our cost base appropriately given the macro conditions. For the full year, adjusted operating income decreased 11% and adjusted operating margin was 22.9% in line with our prior guide. Total company adjusted gross margin in the quarter came in at 41.5%, 10 basis points higher than Q4 last year. The change in gross margin was due to the same drivers as those of our adjusted operating margin. For the full year, adjusted gross margin was 41.2%.  Moving on to the details of the P&L, adjusted SG&A in the quarter was 15.1% of revenue, an improvement of 50 basis points over Q4 last year. For the full year, adjusted SG&A was 15.2% of revenue, an improvement of 60 basis points compared to 2022. Total R&D expense was $328 million in Q4. For the full year, R&D expense was $1.35 billion, reflecting our ongoing investments in high-impact innovation. R&D as a percent of our manufacturing revenue was 6.8% in 2023.  Looking at our results below the line, our Q4 net interest expense was $81 million, which is $38 million lower than Q4 2022. Net interest expense for the full year was $495 million, an increase of $41 million year-over-year. Adjusted other income and expense was a net expense in the quarter of $19 million, $9 million higher than Q4 2022. This is primarily due to changes in non-operating FX. For the full year, adjusted other income and expense was a net expense of $16 million compared to a net income of $14 million in 2022. Our adjusted tax rate in the quarter and for the full year was 10%. This was 280 basis points lower than Q4 last year and 300 basis points lower for the full year, reflecting the results of our tax planning activities. Average diluted shares were 388 million in Q4, approximately 5 million lower year-over-year driven by share repurchases net of options. And shortly after the year-end in January 2024, we repurchased $3 billion of shares. Turning to cash flow and the balance sheet, full year cash flow from operations was $8.4 billion and as I mentioned earlier, free cash flow was $7 billion after investing $1.4 billion of net capital expenditures. We returned $136 million of capital to shareholders through dividends in Q4 and $523 million for the full year. During the year, we invested $3.7 billion on completed acquisitions and committed $3.1 billion to the acquisition of Olink, which we expect to close by mid-2024. We ended the quarter with $8.1 billion in cash and $34.9 billion of total debt. Our leverage ratio at the end of the quarter was 3.2 times gross debt to adjusted EBITDA and 2.5 times on a net debt basis. Concluding my comments on our total company performance, adjusted ROIC was 12%, reflecting the strong return on investment that we're generating across the company. Now provide some color on the performance of our four business segments. Let me start with a couple of framing comments. The scale and margin profile of our pandemic-related revenue varies by segment, and that revenue was higher in the prior year so that does skew some of the reported segment growth rates and margins. In 2023, we continue to execute strong pricing realization across all segments to address inflation. Moving on to the segment details, starting with Life Sciences Solutions, Q4 reported revenue in this segment declined 19%, and organic revenue was 20% lower than the prior year quarter. This was driven by the runoff of our pandemic-related revenue in this segment as well as lower levels of activity in our bioproduction business versus the year ago quarter. For the full year, reported and organic revenue was 26% lower than 2022. Q4 adjusted operating income for Life Science Solutions decreased 14% and adjusted operating margin was 36.2%, up 210 basis points versus the prior year quarter. During the quarter, we delivered exceptionally strong productivity, which was partially offset by unfavorable volume pull-through. The team has done an excellent job of appropriately managing the cost base and dealing with the unwind of the pandemic. For the full year, adjusted operating income declined 39% and adjusted operating margin was 34.3%. In the Analytical Instruments segments, reported revenue increased 8% in Q4 and organic growth was also 8%. The strong growth in this segment this quarter was led by the electron microscopy business. For the full year, both reported and organic revenue were 10% higher than 2022. In this segment, Q4 adjusted operating income increased 23% and adjusted operating margin was 28.8%, up 340 basis points year-over-year. In the quarter, we delivered strong productivity and volume pull-through, which is partially offset by FX and strategic investments. For the full year, adjusted operating income increased 27% and adjusted operating margin was 26.3%, an increase of 350 basis points versus the prior year. Turning to Specialty Diagnostics, in Q4, reported revenue declined 1% and organic revenue was 7% lower than the prior year quarter. In Q4, we continued to see strong underlying growth in the core led by transplant diagnostics, microbiology and immunodiagnostics businesses. This was offset by lower pandemic-related revenue versus the year ago quarter. For the full year, reported revenue declined 8% and organic revenue was down 13%. Q4 adjusted operating income for Specialty Diagnostics increased 27% in the quarter and adjusted operating margin was 23.9%, which is 530 basis points higher than Q4 of 2022. In Q4, we delivered strong productivity and favorable business mix, which was partially offset by the lower -- the impact of lower COVID-19 testing volume and strategic investments. For the full year, adjusted operating income was 10% higher than 2022 and adjusted operating margin was 25.5%, an increase of 400 basis points versus 2022. Finally, in the Laboratory Products and Biopharma Services segment, Q4 reported revenue decreased 4% and organic revenue was 5% lower than the prior year quarter. This was driven by the runoff of vaccines and therapies revenue and the phasing of revenue in our Pharma Services business within 2023 as had been expected. For the full year, both reported and organic revenue were 2% higher than 2022. In this segment, Q4 adjusted operating income declined 4% and adjusted operating margin was 14%, which is 10 basis points lower than Q4 2022. In the quarter, we delivered strong productivity, which is more than offset by unfavorable volume mix. For the full year, adjusted operating income was 17% higher than the prior year and adjusted operating margin was 14.6%, an increase of 180 basis points versus 2022. Let me now turn to guidance, and as Marc outlined, we're initiating a 2024 revenue guidance range of $42.1 billion to $43.3 billion and adjusted EPS guidance range of $20.95 to $22. Our guidance assumes core organic revenue growth in the range of minus 1% to positive 1% for 2024. Our view on the expected market conditions in 2024 has not changed significantly from our initial framing for the year shared on the last earnings call. We're assuming that the market declines in the low single digits this year, our growth strategy and PPI Business System execution will enable us to continue to take share once again this year. Our current estimate of pandemic-related revenue in 2024 is just under $100 million of testing revenue and $300 million to $400 million of vaccines and therapies-related revenue. In total, this represents a year-over-year headwind of $1.3 billion to $1.4 billion or 3% of revenue. M&A is expected to increase revenue by $175 million year-over-year, the combination of six months of Olink revenue and the inorganic portion of CorEvitas revenue in 2024. At current rates, we expect FX to be neutral year-over-year to both revenue and adjusted EPS. From a phasing standpoint, FX is expected to be a slight headwind in Q1 and an offsetting tailwind in the second half. Turning to margins, our 2024 guidance range assumes adjusted operating income margins between 22.3% and 22.8%. We continue to aggressively manage our cost base, and that's reflected in this margin outlook. In terms of the range for the margins, that's driven by the revenue range that I provided. We'll continue to use the PPI Business System to not only manage costs very carefully, but also continue to make the right long-term investments to enable us to further advance our industry leadership. Strong underlying productivity and cost controls, including the carryover benefit from the cost actions put in place last year, are expected to largely offset the runoff in the remaining pandemic-related revenue inflation and a normalization of incentive compensation across the company to appropriately invest in our colleagues. Below the line, we expect approximately $430 million of net interest expense in 2024 and expect adjusted other income and expense to net close to zero. We assume that adjusted income tax rate will be 10.5% in 2024 and below the tax line, you should factor in $20 million of profit elimination related to minority interests. We're expecting between $1.3 billion and $1.5 billion of net capital expenditures in 2024, and we're assuming free cash flow is in the range of $6.5 billion and $7 billion for the year. In terms of capital deployment, our guidance assumes $3 billion of share buybacks, which, as I mentioned earlier, were already completed in January and we estimate the full year average diluted share count will be approximately 383 million shares. We're assuming that we'll return approximately $600 million of capital to shareholders this year through dividends, and we're assuming that we closed the acquisition of Olink by midyear. And finally, I wanted to touch on quarterly phasing for the year as there are a few things to consider. First, in terms of organic revenue growth we expect Q1 to be better sequentially than Q4 2023 by 1 to 2 points and then improve each quarter during the year. Implied in that is core organic revenue growth in Q1 similar to Q4 2023. And core organic revenue growth is also expected to improve each quarter during the year, leading to moderate growth in the second half of the year. From a margin standpoint, we expect Q1 to be just under 21% and increase each quarter throughout the year from that level. And we expect Q1 adjusted earnings per share to be approximately 22% of the full year. So in conclusion, we navigated the challenging environment in 2023 very successfully. We stepped up for our customers and delivered differentiated financial performance for our shareholders. We continue to manage the company with agility, and we're really well positioned for the year ahead. I look forward to updating you on our progress as we go through the year. With that, I'll turn the call back over to Raf.
Rafael Tejada: Thank you, Stephen. Operator, we're ready for the Q&A portion of the call.
Operator: Thank you. [Operator Instructions]. Our first question today comes from the line of Jack Meehan from Nephron Research.
Jack Meehan: Thank you. Good morning. Marc, if you look at the business -- so if you look at the business, I think the question is that you start to see some recovery. Could you talk about what parts you think could grow more or less above market and just what that can mean in terms of revenue and earnings?
Marc N. Casper: Yes. So Jack, when I think about last year and you've heard us say delivering differentiated short-term performance, strengthen the company for the long term kind of simultaneously, we had the opportunity to look at, obviously, for the first nine months of how others have done, and we looked at those companies that preannounced or reported so far. And we had a really strong year in terms of delivering above-market growth, which means share gain, right. And that share gain actually was broad-based in terms of the performance. You look at things like Analytical Instruments, very strong; clinical research, pharma services. These businesses did well. And by the absence of some, I'm not implying anything in the others. This is a very strong year relative to a challenged set of market conditions. As I think to the future, we're well positioned in those businesses to continue our share gain momentum. We made an assumption for this year, which is pretty much the same as what we said back in late October, is that we're assuming that for the full year, it's going to be pretty similar to 2023 and a mirror image, meaning that we start to lap comps as the year unfolds and we wind up with the market being down slightly in the low single digits and us performing better than that level. So I'm excited about what the year unfolds and our position to deliver differentiated performance. And we're certainly going to capitalize on any improvements in the market and hold ourselves to a very high standard of what good looks like.
Jack Meehan: Okay. And are there specific businesses you can talk about, so as an example in the script, I think you talked about transitioning capacity, new therapies. So like in a potential recovery, like what -- can you talk about how you expect phasing for Patheon and some of -- and the bioprocessing business?
Marc N. Casper: Yes. So when I think about the year, we basically use a range of outcomes for each of our businesses in terms of how they perform. I believe that the second half of the year based on lapping the comps as well as we're expecting that the market conditions improve slightly as the year unfolds. And that helps with demand for the industry and for us is how I would think about the business in aggregate is the way that we manage the company. So thank you, Jack.
Jack Meehan: Thank you.
Operator: The next question today comes from the line of Dan Arias from Stifel. Please go ahead. Your line is now open. 
Daniel Arias: Good morning guys, thanks for the questions. Marc, obviously, a lot of discussion on destocking across the industry. Can you just maybe add some color to where you think you are with that process and maybe draw a distinction for us between the inventory work-down that's taking place on the bioprocess side specifically versus more routine consumables, if you split it that way, are the drawdowns kind of happening at a similar pace and ending in a similar time or do you think we should sort of keep those two buckets separately or think of them differently?
Marc N. Casper: Yes. So Dan, I guess, let me start with sort of bioproduction, which I think is the essence of the question, and then maybe I'll step one level above that. In terms of bioproduction, it is an incredibly good long-term market. Historically, it's been an incredibly good market. Sort of a taboo name these days, right, in terms of bioproduction, caused a lot of volatility during certainly 2023 in the industry. For us, a couple of facts, it's a little bit under 10% of our revenue, and we have best-in-class bioprocessing products with an incredible global footprint. We have leading positions in cell culture media, single-use technologies, and increasingly important purification business as we grow our share position there. When I think about the fourth quarter, we did see a sequential pickup in orders in Q4 versus Q3. But the underlying activity is still muted, right, in the market. So we didn't see an inflection. We weren't expecting one and we didn't see one in the fourth quarter. Our view is that it will normalize as the year unfolds and as I've said in an investor conference earlier in the year, no one is going to get rewarded for calling the moment of when that inflection happens. So it will play out during the course of the year, and the long-term fundamentals here are very strong. When I think about our businesses in general coming into the year, I think the things that are very exciting is the trusted partner status that we have earned with our customers over many, many years. We're in the room with the decision-makers. We understand what's on their mind. We're incredibly well positioned. And if I think about the midterm outlook for clinical research, for Pharma Services, for bioproduction, for our channel business, it's incredibly well positioned, right, in terms of we're part of helping our customers bring the breakthroughs to their pipeline, we're part of helping them navigate whatever the environment is. So hopefully, that's helpful. And then maybe the last comment that I would make is one of my takeaways from the many, many customer interactions that I had in the first month of the year was that in the biotech community, and what I mean by biotech, as I'll call it, the smaller companies, the capital market-dependent companies in the pharmaceutical segment, they were much more positive, right. They're seeing green shoots. They love the M&A activity that was happening at the end of the year that gets investors excited about new company formation, new rounds of capital. And while it's early and it will take some time, it's certainly the most optimistic that I've seen in the last five quarters in terms of what the tone was on their view. And I think that bodes very well for the coming few years. Thank you.
Daniel Arias: Okay. That's encouraging. Maybe just a follow-up on the AI piece, consistently solid growth there. I'm curious if you're just still carrying a backlog in microscopy. And can you maybe just talk a little bit about lead times and order conversion this year, is the assumption that those might get extended as we move through the year or do you think maybe you can be stable relative to where we are today? Thanks. 
Marc N. Casper: Yes. So when I think about the performance of our Analytical Instruments business with double-digit growth for the full year, it's awesome. Really a tremendous year. It was across all three businesses. The backlog that we carried into the beginning of 2023, those things largely cleared in the first half of 2023. So we're at -- we've been normal lead times, normal shipping times really for about six months now in terms of that already. So we're kind of in a normal spot. And yeah, there won't be the repeat of the unwind of the pandemic impacts on the supply chain. The business is positioned for a good year and there's a high demand for the breakthrough technologies, whether it's in electron microscopy, or semiconductor, material science, life sciences or the Astral, right, [indiscernible] just incredible demand for those technologies. So we're excited for the upcoming year and the future of that business.
Operator: Thank you. The next question today comes from the line of Derik De Bruin from Bank of America. Please go ahead. Your line is now open. 
Derik De Bruin: Hi, good morning everyone. 
Marc N. Casper: Good morning Derik. 
Derik De Bruin: So Marc, I'm just sort of curious, last quarter you were talking about 1% core growth when you were sort of looking at your initial framework for 2024. If I heard you correctly, now it's plus or minus 1%. It didn't seem like Q4 got a lot worse in anything. So what -- sort of what's changed, are you more conservative on the PPD in these businesses, are you more conservative on just tough comps, I'm just sort of curious, what's embedded now in this like more conservative outlook?
Marc N. Casper: Stephen, why don't you...
Stephen Williamson: Yes. Let me provide some context on the guidance, kind of step back on that and then -- and hopefully help frame your question. So we provided an early framing for 2024 on our last call, and we had the insight on how Q4 played out and have completed our detailed planning work with our businesses. Through that process, our view on the market outlook has not changed significant. The guidance is not significantly different from the initial framing that we provided. It includes the latest view on FX, both rates and expected mix of revenue and cost by currency. That increased revenue from our initial framing, but no impact on operating income, which reduces our margins by 20 basis points from that initial framing. And then from an operational standpoint, I think the only item of note that's changed in the past three months is a discrete item in our Pharma Services business. We're transitioning some of our sterile fill finish capacity from COVID vaccine support to GLP-1 support. Would have been expecting to recognize an upfront fee in Q1 2024. Now the accounting is finalized, we expect to recognize that benefit in line with production, which actually starts in 2025. So it shifted approximately $0.20 out of Q1 2024, and that's had some impact on -- in terms of the reported core growth. And then one other comment on the guidance is that we thought it best to provide a range, not a point estimate. So things are more helpful for our investors and the range of outcomes for the year. Now the range doesn't encapsulate every possible scenario for the year, but it does capture the reasonably likely scenarios of how the year can play out as we see it today. And the range is about $1 billion to a revenue and $1.05 of adjusted EPS, which I think is appropriate given the scale of the company. But hopefully, it kind of tees up kind of the framing for the guide.
Derik De Bruin: Okay. And a little bit more, how should we sort of think about the segment margins as we go through, I mean, I'm just sort of looking -- I mean you've seen really good progress in LSS, and it may seem a good progress in your margins, expansion of margins across all of them. But I'm just sort of thinking about how should we think about LPS and given where you were in the -- is that 14% margin range that we're seeing for the full year, is that sort of sustainable, does that fall back next year, I'm just trying to figure out where the margin hit is on given relative to what our expectations were?
Stephen Williamson: In terms of the margin profile for the -- we finished the year at exactly where we guided to for the full year for our margin profile for the company. And I think some of the changes in terms of Q4 versus between the segments, I don't think everyone quite understood the phasing of our revenue within lab products and biopharma services. So when I see some of the pre-call notes, this is, I think, a little bit different in terms of what some expectations. But from our expectations internally, Q4 played out as we'd expected. And then from margins going forward, I think the margin profile that we have today, I'm not calling a significant difference in margin profile going forward into next year. And I think where we are on landing point on margins for the segments is probably a good starting point for the -- to think about for the year ahead.
Derik De Bruin: Okay, thank you. 
Operator: The next question today comes from the line of Doug Schenkel from Wolfe Research. Please go ahead. Your line is now open. 
Douglas Schenkel: Alright, good morning everybody. Thanks for taking the questions. 
Marc N. Casper: Good morning Doug, welcome back. 
Douglas Schenkel: Thanks, great to be back. And working with great focus like you and the team. So I want to start just with a high-level LRP question, and then my follow-up is really just a clarification on LPS. So on the LRP, Marc, you've been consistent in saying that Thermo is built to grow two to three points better than the peer group over the long term. That said, you did talk about 7% to 9% growth as recently as last year's Analyst Day. I'm sure the two to three points hasn't changed. But as we flip the calendar, is it fair to say that the 7% to 9% growth rate maybe is a little bit high, even in a more normalized environment, I just want to give you an opportunity to maybe just adjust that as we kind of flip the calendar and look ahead? And below the top line, you've done a fantastic job, as always, leaning operations in a more challenging period. Never let a good crisis go to waste. Your guidance suggests to me, at least on the surface, that you may be investing more in the near term. But as we think about a return to normal, I'm just wondering if you think we could get some outsized incremental margin flow-through for the business as the business normalizes? So let me leave it there, and then I'll ask a quick follow-up on LPS in a second.
Marc N. Casper: Sure. So Doug, thanks for the question. In terms of the long-range outlook, right, we raised our outlook in late in 2021. And what that -- at that moment, we can't remember exactly what that moment was, but we were growing 25%, right. We were growing at an extraordinary organic rate. And what we wanted to do was give our investors a very long-term view of what is the market and what is our position in the market, right. And in terms of our ability to gain share, three points, I think -- two, three, I use three for simplicity. Three points faster than the market is kind of the standard we hold ourselves to. And we've been delivering that for a while, and we've been growing share for a really long while for many, many, many years. And so nothing has changed there. In terms of the market growth, where the market was extraordinary when we set it, we said 4% to 6% was going to be our underlying market growth, and that was higher than 3% to 5%. And the change was actually just that we had a larger exposure to pharma and biotech as we built our business capability there. When I look to the future and I think about what's going on in the drivers of the long term in our industry, I feel incredibly confident that this is a 4% to 6% growth industry and that we're well positioned to grow, for simplicity, three points faster than that, so 7% to 9%. So while I get the question a lot and obviously, in a period where we delivered 1% core growth in 2023, that's a long way from 7% to 9%. But our view on the market declining low single digits last year reflects at least a share gain component. And when I look to the future, I continue to remain very confident in the long-term health of the industry. I've had some really interesting discussions with investors and basically went through the logic saying, if you're bullish on life science tools, diagnostics, pharma services, you're probably at 6% long-term growth. And if you're bearish on the life science tools, diagnostics and pharma services, you're probably at 4% industry growth. But you have to be incredibly bearish on the world to actually get to less than 4% industry growth for the long term in our segment because this -- we really are a GDP-plus-type business in terms of the markets that we serve. So hopefully, that gives you at least a sense of how we think about it and while I appreciate the offer to change our outlook, I couldn't be more confident in the future of our industry and our competitive position. In terms of the below the line, the very high-level concept, I do believe that as you see volumes grow at more normalized rate, you'll see a very strong flow-through on the margins. And part of what's going on with the margins for this year is we reset our incentive compensation for our colleagues back to normalized levels after a year of below that. So just the math as you have some level of headwind embedded in the easier numbers, nothing different than we expected in October. But that's part of why you don't see as much of the margin step-up that one would expect to have.
Douglas Schenkel: Okay. I'm going to -- I'll leave the LPS question for another day. But I guess, the other part of my question on the margins, Marc was obviously, you got to pay people, you got to reset things. In a period where you're not growing as much, this is where Thermo has historically played offense while others have played defense to a certain extent. So I'm just wondering if you're actually pulling forward some investment early in the year and that could over the next several quarters lead to even better-than-expected margin flow-through as the company returns to a more normalized period.
Stephen Williamson: Yes. Doug, I think the example that I gave on the GLP-1 contract is we're basically standing up a facility for a customer. We're getting paid a fee to do that. We get to recognize that fee over the production volumes, and we're incurring substantial costs in the interim in 2024, which will create good accretive growth going forward. That's one good example. And we're continuing to invest in innovation across the company. And we're not lessening our drive here to really drive great long-term growth. So we're appropriately managing our cost, top line environment, but we're making sure that we're actually putting the right investments in place and to make sure that, that top line environment stays and the outlook stays as good as we -- as much as articulated.
Douglas Schenkel: Okay, I will leave it there. Thanks so much. 
Operator: The next question today comes from the line of Vijay Kumar from Evercore ISI. Please go ahead. Your line is now open. 
Vijay Kumar: Hi Marc, good morning and thanks for taking my question. My first one Marc, when I look at the annual guidance here, the core is flattish at the midpoint. But excluding the vaccine headwinds, it's about three points. That's a pretty solid guide. The three things that have come up is China, the CRO business, and analytical tech. Can you just remind us what China and what PPD did in fiscal 2023 and is the guide assuming those three pieces, China, CRO and analytical tech, is that at 3%, about 3%, below 3%? Thank you. 
Marc N. Casper: So Vijay, thanks for the question. So when I think about the performance of our businesses, certainly last year and certainly as we look to the future, last year, just spectacular performance in our clinical research business. Really, the team, unbelievably good job in terms of the results. I think that in a way, we probably undersold the details, not the numbers as much as what actually was going on because there's so many different things we were communicating. But if I think about clinical research, it's a little over two years after the acquisition, phenomenal acquisition. Customers love the business performing well, colleagues doing a great job. And it's been a big success. The business in the pandemic played the largest role in supporting the clinical trials on vaccines, and at the same time, delivered by far the fastest, I'll call it, underlying growth, excluding all of the COVID activity, just crushed it. And that means for this year, we have both a roll-off, which we've given transparency to on a big chunk of the vaccine revenue, which is fine. And we have generated a really substantial comparison, which is cool. Like we -- that's a good challenge to have in terms of the great performance. So we would expect that the business' growth would be much more moderate this year just based on the comparisons. But the future, meaning looking out into 2025 and beyond, this is a really strong business, long-term, high single-digit growth business plus the synergies it's driving. So I feel really great about that. And then a quick comment just on China and which is unrelated to clinical research but sort of the other element of your question. China, market conditions were challenged in 2023. First quarter was really strong, lots of stimulus, all of those good things. But then -- so that was China effectively. We're not calling for a meaningful improvement in China this year. Rather, we lap the comparisons as the year unfolds. So it becomes a little bit less of a headwind. We all know that at some point, the Chinese government will create some mechanism of stimulus. Whether that's direct or confidence or whatever it does, we don't know when that will happen. But at some point, it will improve the market conditions because the needs for what we do is very high. So I'm bullish on the long term being better in China than what we've been experiencing currently, and it will take some time to get there. Thanks, Vijay. Go ahead.
Vijay Kumar: Stephen, just one quick one for you. On Q1, I think operating margin, slightly under 21%. I think the EPS is around $4.70-ish. Is that just the outsized impact from incentive comp reset, just want to understand the Q1 margin cadence?
Stephen Williamson: Yes. So when I think about the margin in Q1, that's definitely an element when you look at it year-over-year and kind of sequentially as well. So when I think about it year-over-year -- so there's -- obviously, we have a significant drag from the lower pandemic revenue and the reset of the incentive comp. That's just under 200 basis points in total and then about 100 basis points contribution from the core business despite the lower dollars of revenue. And the key driver there being the impact of the cost actions that we've taken over the past year. So to give you a way to frame the margin in Q1. And then yes, the margin profile grows each quarter as the revenue dollars grow during the year in terms of the profile for the year ahead. Thanks Vijay.
Vijay Kumar: It’s helpful. Thank you guys. 
Rafael Tejada: Operator we have time for one more question. 
Operator: Thank you. Our final question today comes from the line of Tejas Savant from Morgan Stanley. Please go ahead. Your line is now open. 
Tejas Savant: Hey guys, good morning. And thanks for the time here. Marc, just a follow-up on your China commentary there, more in terms of the long-term opportunity. You've talked in the past about that being an important market for you growing at the higher end of your outlook for the company. Recently, there's been a thawing in relations over the last month or so. I think you've kind of alluded to that as well and some high-level government engagement. But then a little while ago, we got word of this Biosecure Act legislation. Can you just help us think through sort of what that entails for you, perhaps an opportunity to be more front footed and gain share in the near-term on the services side versus kind of the long-term risk of a potential blowback from the Chinese side in terms of U.S. MNCs operating in that market? That would be super helpful. Thank you. 
Marc N. Casper: Sure. So thanks for the question. In terms of China, a market that we've been in for 40 years, a set of capabilities that we built over a long period of time that's helped Chinese society, right, and created American jobs as part of it. Better food supply, addressing air pollution, helping produce medicines for the local population, we have a great reputation. I've had the honor of being the Chair of the U.S.-China Business Council over the last couple of years and interacting both with the U.S. administration and the Chinese government. And while it's clear to me that the short-term GDP environment is challenged in China, that the needs for what our industry does and what Thermo Fisher does for the long term is good. It will be a solid growth market, certainly one of the faster-growing geographies in the long-term. In terms of the relations between the countries, yes, I agree with your sentiment, there is a thawing. And in terms of potential legislation, there are thousands of bills that are written that don't happen. So until something sort of matures through the process, it's hard to really know whether it comes to pass and what the exact implications. And my quick read of what they're working on in this particular one, it really is basically an opportunity for non-Chinese companies to have a stronger position in serving Federal Government-related entities. So that's sort of the essence of that. And obviously, as a non-Chinese company, we'd be well positioned to support the U.S. government. So thank you for the question. Let me just do a quick wrap on the call. So thanks everyone for participating in our call today. We entered this year with strong momentum. We're in a great position to deliver an excellent year in 2024. As always, thank you for your support of Thermo Fisher Scientific, and we look forward to updating you as the year progresses. Thanks, everyone.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect.